Operator: Ladies and gentlemen, thank you very much for standing by. And welcome to the Barrick Gold Second Quarter 2010 Results and Conference Call. During the presentation, all participants are in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded on Thursday, July 29, 2010. I would now like to turn the conference over to Deni Nicoski, Vice President of Investor Relations. Please go ahead sir.
Deni Nicoski: Thank you, operator and good morning everyone. Before we begin, I would bring to your attention the facts that we will be making forward-looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our yearend report or our most recent AIF filing. With that, I'll hand it over to Aaron Regent, President and CEO of Barrick.
Aaron Regent: Thanks Deni, and good morning, and thank you for joining our call. I'm also joined here today by Jamie Sokalsky, Peter Kinver and Kelvin Dushnisky. There is also other members of our team here as well who will be available to answer questions later on in the call. I'll start by covering some of the highlights of the quarter and then provide you with an update on our projects. And then I'll turn the call over to Jamie to take you through our financial results in more detail, and our views and the outlook for Gold. Afterwards, we will be happy to take any questions you might have. Overall, we are pleased with the second quarter results. We had another strong quarter with significant margin expansion driven by solid operating results and a higher realized gold price. Reported net income was a record $783 million or $0.79 per share. On an adjusted basis, net income was $759 million or $0.77 per share. Our operating cash flow was excellent and exceeded $1 billion. I think that highlights the exceptional leverage that the company has to our gold prices. Our projects continued to be advance in line with our plans. The Cortez Hills mine continues to perform a health plan, and supplemental EIS and a record of decision is still expected to be issued by yearend. Our two world class low projects which are constructions Pueblo Viejo on the Dominican Republic, and Pascua-Lama on the border of Chile and Argentina remained in line with the respective pre-production capital budgets and initial production expectations. And with our strong operating results, and positive outlook, the Board of Directors has improved an increase in our common share dividend and authorized a quarterly dividend of $0.12 per share, which represents a 21% increase from the previous dividend. This continues the trend of increasing dividends in line with the rise in the gold price, and growth of our earnings in cash flows. I would like to note that over the past fiver years, Barrick's dividend has increased by almost 120%. Through to the next slide, operationally we had a good second quarter and a good first half. Second quarter gold production was ahead of plan, and was up 4% from the prior year quarter to about 1.94 million ounces and that's largely due to strong performances from Cortez, Goldstrike and Lagunas Norte. Total cash cost of $457 per ounce or net cash cost of $358 per ounce were in the similar range to the prior year quarter despite the gold price outage in some $275 per ounce higher which has increased royalties and production taxes and with these results we remain on track to achieve our guidance of higher goal production at lower total cash costs in 2010. Turning to a regional breakdown of our operating results, our North American region performed ahead of plan produced a 755,000 ounces at a total cash cost of $506 per ounce. A continued strong performance from Cortez and Goldstrike, the Cortez property has continued to perform exceptionally well and produced 294,000 ounces of gold and cash cost of $300 per ounce in the second quarter. The mine is expected to exceed its original guidance this year on higher than anticipated grades from both the Cortez sales open pit and underground. The Goldstrike operation also performed ahead of plan with production of about 297,000 ounces at a total cash cost of $966 per ounce and that's primarily due to the better than expected grades from the open pit and higher roaster throughput. Our South American business unit produced 566,000 ounces at a total cash cost of $233 per ounce. Our local cost Lagunas Norte Mine exceeded plan producing 253,000 ounces at a total cash cost of a $163 per ounce probably due to changes in mine sequencing. As a result production at Lagunas Norte is expected to be lower in the second half of the year before increasing again in early 2011. Veladero mine produced 257,000 ounces at total cash cost of a $279 per ounce and as we expected to produce 1 million ounces in 2010. The Australia Pacific region produced 482,000 ounces at total cash cost of $622 per ounce in the second quarter. The Porgera mine contributed 118,000 ounces at total cash cost of $617 per ounce and the region remains on track with it's original production guidance of 1.5 to 2 million of gold at total cash cost of around 600 to $625 per ounce. Attributable production from African Barrick Gold was 132,000 ounces at total cash cost of $609 per ounce. Barrick's expected share of full year production has been reduced to around 600 to 649,000 ounces at total cash cost of around 560 to $600 per ounce. The Buzwagi mine continues to work through lower grade transitional ore and plant availability of the quarter was also impacted by a series of power outages and equipment issues both of which have been addressed and production at Buzwagi is expected to increase in the second half of the year as primary sulfite ore becomes available in processing. Our second quarter copper production totaled 102 million pounds at total cash cost of a $12 per pound and the copper remains on track full year copper production guidance of 340 to 365 million pounds and total cash cost of around a $10 to $12 per pound. Now I would like to turn and make some comments of our projects. And this slide shows a projects that we have in our pipeline, Cortez is now complete and has wrapped up successfully and is exceeding our expectations. At Porgera for gold is expected in the fourth quarter of 2011 and Pascua-Lama in first quarter of 2013 and as we have highlighted before a full capacity of these three mines were produced about 2.4 million ounces of average annual production at lower cash cost than our current cost profile. Then of course the other four projects in the pipeline are at very stages of feasibility or permitting but they are each presenting long life and low cost mines which provides us with considerable development options for the future. I would like to comment specifically on each of these projects. Cortez, just briefly, as I've already stated continues to perform ahead of plan. As a result we expect the Cortez property as a whole to exceed our original guidance of 1.08 to 1.12 million ounces a share at a better cost of 295 to $350 per ounce. Cortez continues to operate under the terms of the tailored injunction issued by the district court early this year while the Bureau of Land Management completes a supplemental environment impact study on the three assets that identified by the 9th Circuit and the company continues to expect completion of the supplemental, environmental impact study and a record decision to be issued by the end of the year. Turing to Pueblo Viejo, the project is advancing in line with its preproduction capital budget and initial production continues to be expected in the fourth quarter of next year. At the end of the second quarter engineering and procurement by major EPCM contractors was about 9% complete and about 70% of the capital has been committed. Overall construction was more than 25% completed. Two of the autoclaves are in country, one of which pictured here is expected to arrive on site imminently. All four mills have been installed on their footings, about 92,000 cubic meters of concrete or about 60% of the total have been poured and 5,000 tones of steel or about 30% of the total have been erected. And just as a reminder, Barrick's 60% share of gold production in the first full five years is expected to average around 625 to 675,000 ounces, at total cash costs of around 250 to $275 per ounce Turning to Pascua-Lama, initial production continues to be in the first quarter of 2013 and again this project also remains inline with its preproduction capital budget and detailed engineering and procurement is nearing completion. Where the one third of the capital has been committed with long lead time items like the mining equipment fleet mills overlying pressures are either purchased or are subject to firm pricing. In Chile the Barriales camp is essentially completed and about 25% of Los Amarillos camp on the Argentinean side has been built. The Punta Colorada road is progressing well and earthworks have begun with about 3 million tons of earth moved to date. And again as a reminder, the average annual production in the first full five years is expected to be at around 750 to 800,000 ounces of gold and 35 million ounces of silver at total cash costs of around 20 to $50 per ounce and that's using a $12 silver price. At Cerro Casale in Chile, we are in a process of completing a supplemental environmental impact study which will likely be submitted early next year. Engineering contractors have been selected and basic engineering is underway. Pre-production capital remains and is expected to be about $4.2 billion on a 100% basis and our 35% share of average annual production is expected to be around 750 to 825,000 of gold and 170 to 190 million ounces of copper at a cash cost of between 240 and $260 per ounce. At the Reko Diq we are finalizing the initial mine development feasibility study and the environmental and social impact assessment. The feasibility study indicates pre-production capital of about $3.3 billion and that's on a 100% basis. Barrick's 37.5% share of annual production is expected to be about 100,000 ounces of gold and 150 to 160 million pounds of copper the first five years and I should note that this is a large deposit and has an expected mine life well in excess of 50 years. Total cash costs for the first five years are expected to be around 420 to $450 per ounce for gold and $1 to $1.10 per pound for copper. The 120,000 ton per day initial capacity is expandable and a future expansion to double processing capacity 240,000 tons has been annualized. The Kabanga feasibility study will now be presented to the Balochistan government shortly. It will now be focused on completing the project agreement, mineral agreement and other documents necessary to allow for construction decisions. At the Donlin Creek project in Alaska, we have completed a scoping study which looks at replacing diesel fuel with natural gas as a major fuel source for power generation and potentially for the money fleet as well. This option will significantly improve the logistics and lower the operating cost of the operation. The results of the scoping study are encouraging and as a result, the Board has now approved a supplemental budget to proceed with our visions for the feasibility study to include the natural gas option. And we expect to complete this work in the second quarter of next year. When you look at Reko Diq, Donlin and Kabanga, they are large resources and collectively contain over 37 million ounces of gold, 20 billion deposits of copper, and 1.6 billion pounds of nickel. And when constructed and in operation, there will be large, long life and low cost operations that will generate substantial earnings and cash flows for Barrick shareholders for many years to come. That concludes my comments, and I'll turn the call over to Jamie.
Jamie Sokalsky: Thanks Aaron. As Aaron mentioned, we had a strong start to the year with both production growing and margins expanding. Our gold production of 1.94 million ounces in the second quarter was 4% higher than the same period a year ago. And we've held the line on total cash cost and net cash cost despite the increased royalties associated with higher gold prices and the result has been an increase in the total cash margin of 56% to $748 per ounce, and a 48% increase in the net cash margin to $847 per ounce. This margin expansion, combined with both higher gold and copper production and sales, drove record net income of $783 million or $0.79 per share. Adjusted net income rose 76% to $759 million or $0.77 per share. This also translated into robust operating cash flow of more than $1 billion in the second quarter, the second quarter on a row that we generated over a $1 billion in operating cash flow. Net operating cash flow in the second quarter was a 42% increase from the prior year period. And our first half operating cash flow totaled over $2 billion. Turning to our 2010 guidance, we continue to be on track to increase production from 2009 to 7.6 to 8 million ounces of gold at lower total cash cost of 425 to $455 per ounce or net cash cost of 345 to $375 per ounce. From a production point of view, we've had a strong first half. We expect production in the second half to be modestly lower relative to the first half as we anticipate lower production from South America. We expect our total cash cost for the year to trend to the higher end of the guidance range mainly due to the higher royalties that I had mentioned, as the results of the increase in gold prices and the shift in the production mix with more North American production and less South American production than we anticipated at the start of the year. Given our positive view of gold prices, we expect the trend of margin expansion to continue, which in turn should translate into higher returns on equity. For 2010, assuming our total cash cost guidance of 425 to 455 per ounce and a spot price average of about $1150 per ounce, our cash margins would be a record of around $700 per ounce and assuming our net cash cost guidance of 345 to 375 per ounce and the same spot price assumption. Our cash margins in 2010 would also set record levels over $775 per ounce and we continue to maintain a very strong financial position with the industries only 'A' credit rating. The end of the second quarter we had a cash balance of almost $4 billion and undrawn credit facility of $1.5 billion at attractive terms and as I discussed, we are generating very strong operating cash flow. In the quarter, we drew down approximately $780 million on a 100% basis, on our $1 billion, non-recourse project financing for Pueblo Viejo which we had previously finalized terms for in the first quarter. This financing represents attractive, long term 12 to 15 year financing for Barrick from a syndicate that is comprised of international, financial institutions, export credit agencies and commercial banks. As Aaron also mentioned our Board of Directors has authorized a quarterly dividend of $0.12 per share to be paid in mid-September. Which if you rebase it to the last semi-annual dividend represents a 20% increase and we made this 20% increase in a disciplined way, balancing both the return of additional value to shareholders with our internal investment opportunities. The company expects to move from a semi-annual dividend to a quarterly dividend going forward and this change will put us more in line with many other companies and provide returns to the shareholders on a more frequent basis. I think it's also important to note that as gold prices have strengthened over the past five years, we have been able to increase our dividend a number of times and by almost 120% since 2006, while still being able to invest in high return projects like Cortez Hills, Pueblo Viejo and Pascua Lama which have long mine lives and considerably lower cash costs than our current portfolio. So, that you can see that as the gold price has increased and we've generated stronger earnings and cash flow we've also returned more capital to share holders and as we move forward, we will continuously assess our ability to return more to share holders, while balancing that with our attractive investment opportunities. I'd also like to make a few comments on our outlook for the gold price, which although we've seen a pull back from record highs' about a month or so ago, continues to be positive. The record gold prices in the second quarter were driven primarily by the news around sovereign debt issues in Europe. While investor concerns may have abated somewhat, sovereign debt issues around the world are unlikely to go away in the forcible future. The other of macroeconomic factors which have been the main drives of investment demand and hence higher gold prices are still in place. Including monetary reflation, accommodative physical policies and significant trade and current account imbalances and while some countries such as Canada and Australia have recently lifted interest rates were unlikely to see a broad based sharp move away from accommodative, monetary and fiscal policies particularly while high unemployment levels and concerns of a double dip recession in some economies persists. And in this environment investment demand has continued to be very strong with ETF Gold Holdings now at 67 million ounces up another 9 million ounces from the start of the year. Central banks have become net buyers of gold in efforts to address excessive global FX reserves. We expect this trend to continue with the only recent notable seller of gold being the IMF as part of it's previously announced program to sell 403 tons and the market is absorbing its selling very readily. In the longer term, we also expect gold to be supported by mine supply which we expect will contract, given the lack of large new discoveries in the past decade despite a significant upswing in exploration spending. And finally, its worth noting that gold had moved to new highs with limited physical demand as we have moved to the seasonally weak summer months earlier. The seasonally strong fall period should provide an added lift to gold prices in the coming months. I'll now turn it back over to Aaron.
Aaron Regent: Thanks Jamie. So, on closing, I'd say that we are pleased with the progress that we've made in the first half of this year, we achieved our operating plans with second quarter and with the rise in the gold price it has translated in the record earnings and a robust operating cash flows and we continue to be on track to deliver a higher production a lower cost this year. Cortez made a strong contribution again in the second quarter and we're pleased that it continues to exceed our expectations; this might will be a significant contributor Barrick for many years to come. But the Viejo and Pascua-Lama remain on track for initial production in the fourth quarter of 2011 and first quarter of 2013 respectively with their preproduction in capital budgets and we are making a progress on our next generation of large long life projects at Cerro Casale, Donlin and Reko Diq. Our outlook for gold remains positive and we are well-positioned to fully capture the upside from higher prices with our large production base, reserve position and stable cost structure. And our focus remains on growing the net asset value per share and metal exposure per share to maximize our leverage to increase in the gold price and the value that were accrue to our shareholders. In addition, as Jamie said we are pleased that we are in a position to return capital to our shareholders through a increased dividend while maintaining the strong balance sheet and cash resources to fund the construction of our project pipeline. So, that concludes our formal remarks and at this point operator we would be happy to open the call to questions.
Operator: Absolutely, sir. (Operators Instruction). Our first question comes from the line of Haytham Hodaly from Salman Partners. Please proceed with your question.
Haytham Hodaly: Thank you operator, good morning everybody.
Aaron Regent: Good morning.
Haytham Hodaly: Just a couple of quick questions, are you interested in terms of development projects, are you seeing a cost pressures on your range of development projects in terms of increases in capital cost?
Peter Munk: May be I can answer that Aaron. Earlier this year, we certainly saw cost pressures in most items, steel, cement, ocean freight and so on but we've seen the last three or four months, an easing of cost pressures, and in fact in ocean freight we've seen a reversal of the increases. So I would say there -- the increases have slowed up a bit.
Haytham Hodaly: So would you be expecting revisions in terms of overall capital cost for past quarters etcetera or have they come down enough such that you don't expect any significant increases at that point?
Aaron Regent: No. we won't be revising because as I say as the mix bag some have gone up, some may have gone flat, some are down, but overall it's more or less where we saw the full cost.
Haytham Hodaly: Okay, perfect, just another question with regards to the joint venture on the Donlin project. I think it was just a brief perspective on what you expect to happen with us in the near-term?
Aaron Regent: I think that as I said in our remarks, we are continuing to try to improve the both the economics and the I guess the operational profile of the project, and that's let us to spend a fair amount of time and effort on looking at different options to bring fuel into the side. So, as I said out the option that looks quite refractive right now is to develop a pipeline to bring natural gas into the side. And so, that's where we're going to be spending a lot of our time and energy over the next, the balance of the year and into next year, and that work should be done in the second quarter, and at that we will have a pretty good assessment of what the picture of the project looks like.
Haytham Hodaly: Sure. With regards to the gas option what are we talking about in terms of a potential savings from the overall capital cost?
Aaron Regent: Haytham, I think at this point, it's still preliminary. We still have a lot of work to do, so if you can bear with us, I'd rather not give you numbers at this point because there are scoping level as I suppose to be more refined, but I would just suggest to you that it is, it is material to the project.
Haytham Hodaly: Perfect, thanks.
Aaron Regent: Okay.
Operator: Thank you, sir. Continuing on with our next question. This question comes from the line of Kerry Smith of Haywood Securities. Please proceed with your question. Kerry Smith - Haywood Securities Okay, thanks operator. Just a couple of things, for PV for the CapEx how much contingency was built into that number, and how much contingency have you actually used to date?
Aaron Regent: I think the original contingency was around 14% I believe and in terms of what we've used to date. Peter?
Peter Kinver: We've used some of the contingency, but its still -- we've still got a healthy contingency. Kerry Smith - Haywood Securities Okay, so you really haven't used very much then, Peter?
Peter Kinver: Yeah, we have -- we have used some but as the remaining amount of spend get smaller than obviously the percentage, the contingency gets healthy you know what I mean. Kerry Smith - Haywood Securities Okay, and then just on Pascua-Lama how long would it take to ramp it up once you get it up and running to get to full production? What is your sort of expectation there?
Aaron Regent: It would probably, probably take the bulk of 2013 to ramp it up. Kerry Smith - Haywood Securities Okay, so really so the nine months let's call her something.
Aaron Regent: Yeah, something like that. Kerry Smith - Haywood Securities And Peter, there was above some metallurgical that you guys had been sort of working on try and improve the silver recoveries, is all that worked down now, and in case just remind me what the silver recovery is that you're assuming there?
Aaron Regent: Well, we're actually referring to the silver recovery at Veladero. The silver recovery at Pascua-Lama is actually very good. The current silver recoveries of Veladero are low because the silvers are locked in a -- basically in the silica and it's difficult to get it out, so we ran a very successful program and looking for new ideas we had a very good response from all over the world from various organizations and we are currently reviewing. We put them on a short list of two or three and we are currently at those at the moment. Kerry Smith - Haywood Securities Okay and then just remind me this silver recovery for Pascua, I presumed I thought you had then more work but just remind what the numbers you are using there? But just remind what the numbers that you are using there?
Aaron Regent: At the top of my mind is 75, but we can get that numbers of you? Kerry Smith - Haywood Securities Okay. Thanks.
Operator: Thank you for your question. Continuing on, our next question comes from the line of Steve Butler from Canaccord Genuity. Please proceed with your question.
Steve Butler: Aaron yeah good morning, question you made a comment on the projects including sorry I think you mentioned I wrote it -- scribbled it down, supplemental EIS submit early next year. So, I referenced to a review of additional permitting requirements before considering a construction decision. So, in a sense of timing is it indeed correct that you've refilled or a supplemental EIS has been filed or pending filing and therefore timing on its receipt -- favorable receipt and therefore construction decision.
Aaron Regent: Sorry, we haven't sorry Steve we haven't yet filed the supplemental EIS and that's something we will be looking to do later this year or next year, that type of timeframe. Yeah.
Steve Butler: That's fine and therefore turnaround expected on that before construction decision.
Aaron Regent: It will probably be 12 to 15 months.
Steve Butler: Okay. Thanks very much.
Aaron Regent: Okay. Thanks.
Operator: Thank you for your question. (Operator Instructions). Our next question comes from the line of Greg Barnes with TD Newcrest. Please proceed with your question.
Greg Barnes: Yeah, thank you. Aaron on Reko Diq what do you need to see from the Pakistan or Balochistan government to move forward now.
Aaron Regent: I think there is a number of agreements that we'll need to have in place prior to put the shovel in the ground particularly a proached agreement which is effectively a shareholders agreement and that's something that is not been completed so we have to finish that also the narrow agreement will include things such as fiscal stabilization, stability agreements, tax structures. So, that's additional agreements that we have to finalize and then there is other permits that we will need as well and approvals we will need for example approval of the DSIA and then obviously rights of way water usage and things like that. So, I guess a laundry list of you will that we would like to have in hand before we actually go to shovel in the ground.
Greg Barnes: Any kind of timeframe that you can place around this?
Aaron Regent: I think you could safely say it will take a couple of years.
Greg Barnes: Okay and just on Kabanga, just the strategy with Reko Diq it is largely a cost project and Kabanga is a nickel project. What's your thinking on those two projects going forward?
Aaron Regent: Well I think Kabanga, you know the history of how Kabanga became part of the company, it's part of the portfolio of a gold company and I think Kabanga say is a it's a very attractive, a large nickel sulphide deposit in a world where I think large nickel sulphide deposits are scarce. So, I think there is a lot of value in that deposit, I think the strategy around it is we are probably start with a modified production profile within and then scale it up over time. So its kind of a low capital cost option and to me it's a -- I wouldn't say it's a core asset but I think the sensible thing to do is continue to move it forward surface and increase value and at some point in time we could look at whether or not we deploy the capital and that asset somewhere else. So that's sort of about Kabanga and I think Reko Diq, I think what attracts us to it is, there is a lot of gold in that deposit and no doubt a lot of copper. But it is a, we sort of say a 50 plus year mine is probably going to be longer than that. So it's a very large and I think attractive deposit and we happen to have a ownership position in it. So I think anytime you can have that type of deposit in your portfolio, I think it's a good thing.
Greg Barnes: Okay. Thank you.
Operator: Thank you for your question. I will now turn the call back to Aaron Regent. Please go ahead sir.
Aaron Regent: Okay. Well thank you operator and thank you everyone for joining our call. We appreciate your interest and your questions and given that there is no more questions I think we'll just call it to an end. Thanks again and have a great day and a great summer.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect. Thank you once again. Have a fantastic day.